Executives: J. Harvey - Chairman, Chief Executive Officer, Member of Executive Committee, Chairman of CNX Gas Corporation and Chief Executive Officer of CNX Gas Corporation William Lyons - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Brandon Elliott - Vice President of Investor and Public Relations Nicholas DeIuliis - President Robert Pusateri - Executive Vice President of Energy Sales & Transportation Services and Executive Vice President of Energy Sales & Transportation Services for CNX Gas Corporation
Analysts: Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc. Mitesh Thakkar - FBR Capital Markets & Co. John Bridges - JP Morgan Chase & Co Holly Stewart David Katz - JP Morgan Chase & Co James Rollyson - Raymond James & Associates, Inc. Shneur Gershuni - UBS Investment Bank Andre Benjamin - Goldman Sachs Group Inc. David Lipschitz - Credit Agricole Securities (USA) Inc. Richard Garchitorena - Crédit Suisse AG Brian Gamble - Simmons & Company International Meredith Bandy - BMO Capital Markets Canada Jeremy Sussman - Brean Murray, Carret & Co., LLC Mark Levin - BB&T Capital Markets
Operator: Ladies and gentlemen, thank you for standing by, and welcome to CONSOL Energy's Second Quarter 2011 Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference call over to the Vice President of Investor Relations, Brandon Elliott. Please go ahead.
Brandon Elliott: Thanks, John. I would like to welcome everyone to CONSOL Energy's Second Quarter Conference Call. We have in the room today Brett Harvey, our Chairman and CEO; Nick Deluliis, our President; Bill Lyons, our Chief Financial Officer; and Bob Pusateri, our Executive Vice President of Sales and Marketing. Dan Zajdel and I are here representing our IR team. Today, we will be discussing our second quarter results. Obviously, any forward-looking statements we make or comments about future expectations are subject to the business risks we have laid out for you in our press release today, as well as in our previous SEC filings.  With that said, we will start the call today with Bill Lyons. Bill?
William Lyons: Thank you, Brandon. CONSOL Energy had another excellent quarter from both a market and operation standpoint that translated into strong financial results. Before I get into the numbers, there are 2 events in the quarter that I would like to highlight. The first event is that in June, we reached a new collective bargaining agreement with United Mine Workers of America. This agreement, which runs through December 31 of 2016, will extend the period of labor stability by another 5.5 years. December 31, 2016, will mark a total of 23 consecutive years of uninterrupted service by our represented employees. We believe the agreement to be a manifestation of the strong partnership we have with our 2,900 represented employees to safely provide a reliable supply of critical energy to the nation and the world. We expect our labor costs to increase by about 3.5% per year over each of the next 5 years. In the past, some have viewed CONSOL in a disadvantaged light because our reserves whereby higher sulfur content and we had a significant represented workforce. As our sales volumes and realizations for the quarter will attest sulfur content has not been a significant issue due to the installation of scrubbers and other pollution control technologies. The high-quality and high Btu content of our coals are recognized on 4 continents. We also hold the premise that our commitment to safety and compliance has helped us to better partner with the union to achieve labor stability.  When you look at the global labor disruption that are present in the mining industry today, we believe that the stability of our workforce, and as both represented and non-represented employees, is a competitive advantage. The second issue I want to address before my financial review of the quarter is the decision to permanently close Mine 84. We were incurring approximately $18 million of annual cash cost to maintain the underground infrastructure of the mine. A noncash $115 million charge we took for the infrastructure abandonment is actually cash-accretive since we will save the $18 million per year in cash maintenance expenditures. And since this is only in infrastructure abandonment, we still retain the valuable reserves in the area that will be available for future development when this market develops. Let me now go to the quarterly financial statement. Total revenue for the second quarter of 2011 was $1.588 billion, up 20% to 23% year-over-year. This represents the company's fifth consecutive quarter of record revenues. CONSOL Energy generated $360 million of operating cash flow and $472 million of adjusted EBITDA. The primary economic driver for these results was the $21.56 margin per ton across all tons in the Coal Division. CONSOL Energy reported GAAP net income of $77 million or $0.34 per diluted share for the second quarter of 2011 compared to $67 million or $0.29 per diluted share for the second quarter of 2010. GAAP net income was lower than our operating results would've suggested because of 4 discreet items: The closing of Mine 84 with $115 million charge and a charge associated with the early extinguishment of debt for $16 million. Additionally, we saw an increase in OPEB of $14 million, as well as the contract buyout for $5 million. Now this contract buyout will result in $10 million of additional earnings when we sell this coal in future quarters. Now after adjusting for these items, we earned $174 million in the quarter or $0.76 per diluted share. The higher-than-expected coal sales of 16.4 million tons, combined with a $7 increase in average margin per ton, were the primary drivers of this increase in profitability. Our cost per ton increased by $5.79 compared to the second quarter of 2010. Cost discipline is important. Cost need to be referenced to driving profitability. Of the $5.79 increase in cost, $0.73 is directly related to increased realization, and these are production taxes and royalties. Of the remaining $5.06 per ton increase, about 1/2 is related to maintenance and equipment overhauls and enhanced roof control method that increase the safety and efficiency of our mining operations. About 1/4 of the $5 per ton cost increase relates to additional depreciation charges stemming from our capital investments in our mines, also to enhance safety, efficiency and reliability of our operations. The majority of the cost increases are high rate of return expenditures that drive improved profitability through margin expansion. I believe that we can continue to expand per ton margins into 2012. We're already seeing this with our thermal coal negotiations for 2012. During the June quarter, we closed the sale on over 6 million tons per year, which will generate over $100 million per year in increased realizations to CONSOL. Ultimately, our objective is to expand margins, which we've been able to accomplish even with increasing costs.  For the second quarter of 2011, total active coal operations earned $333 million. That's up $117 million from the second quarter of 2010. Our met coal operations, which consist of both our high-vol and low-vol operations, earned $233 million, which is up $121 million from the second quarter of 2010. This reflects the strong global demand for met coal in general and the demand for the quality of our coal in particular. On the thermal side, we earned $94 million, which is just under the $98 million from the second quarter of 2010. Keep in mind, too, that we shifted more of our Pittsburgh 8 seam from the thermal market to the higher margin, high-vol met market, which impacts the thermal comparison with 2010 but increases overall coal profitability. Our Gas business had another outstanding quarter operationally, but it was hurt by weak gas prices. Production increased by 18% quarter-over-quarter to 37.5 Bcf. We grew our Marcellus Shale production to 6 Bcf in the quarter or nearly 3x the 2.3 Bcf from the 2010 quarter. Coalbed methane operations produced 22.9 Bcf for the quarter, up slightly from the 2010 quarter. In the second quarter of 2011, we earned $17 million from our gas operation. That's down $33 million from the second quarter of 2010. Average realization was a $5.07 per Mcf. That's down $0.96 from the 2010 quarter and was the cause of our reduced profitability. In Gas, our key objective has to delineate our expensive Marcellus Shale acreage. With our successes this year in the Marcellus, combined with our low-cost structure, we believe that we can generate attractive returns even at current pricing. To that end, we have contracted for 2 more flex rates, which will increase our rig fleet to 6 on October 1. 5 of these rigs will be deployed in the Marcellus Shale, while a sixth rig will be deployed full time in the Utica Shale formation in Eastern Ohio. The additional drilling in 2011 will have minimal impact on 2011 production. The real benefit will be in 2012. So for 2011, we continue to expect to produce between 150 billion and 160 billion cubic feet of gas.  One operational item that we feel is significant is the drilling we did on a 10-pad well on Westmoreland County, Pennsylvania. Drilling large number of wells on a single pad, we believe, will enable us to continue to reach significant economies of scale. Our large fee and held by production acreage allows us to drill for economics, as opposed to holding leases. It also makes a host of other issues easier for us, whether you consider permits, water handling or pipeline construction. The overall financial condition of the company has never been better. Cash generation is one of the most important financial metric in the financial statements. This cash generation enables us, not only to invest in our asset base and pay dividends, but also provides us with the financial flexibility to weather changes in the economic environment. And through the first half of the year, we generated nearly $800 million in cash. We expect cash flow to be positive for the year even after investing a projected $1.4 billion in our basic businesses. Our balance sheet remains strong with excellent liquidity. We were very active in March and April this year in restructuring the finances of the company, and as a result, we have no financial debt coming due until 2017. We have more favorable pricing and expanded borrowing capacity on our credit facilities. And we obtained a 20% interest rate reduction and the rollover of our $250 million senior notes due in 2021. We were encouraged by our second quarter financial and operational results. We like what we see in the Marcellus Shale. And based on early indications in Ohio, we are hopeful in what we could see in the Utica Shale. We are growing our coal businesses, too, with the reopening of our Amonate complex in 2012, the expansion of our Baltimore Terminal also in 2012 and our new BMX Mine, which is due to open in 2014. All in all, it's a testament to our financial strength that we can grow both our coal and gas divisions with projects that are expected to generate significant rates of return for our shareholders. We believe that we continue to make significant progress in achieving our long-term growth and profitability objectives.  Brett, your observations in the quarter.
J. Harvey: Thank you, Bill. I think that was a good summary of the highlights of the quarter. I'd like to talk more in a general context, I think, for our shareholders, and it's good to be with you all this morning on the phone to talk about it. And as always, I'd like to talk about safety, and because it is a core value of the company, and very important to us and to our employees and to the image of the company as well. Let's talk about our Gas Division first on safety. It was formed in 1994. We've had 0 lost time accident, so we have one generation of people who understand that 0 is a real number and can be done safely and effectively at low cost. We've proven that since 1994.  On the Coal Division side, we continue to make great strides towards 0 accidents in total. Now that's important for this reason. 0 accidents effects us in terms of morale and productivity and trust between employees and the company. Those things go together and create value for our shareholders. And I do believe we're hiring today a generation of people that will expect to have no accidents in the mining business for their career at CONSOL in the next 30 years. That's a good thing.  Now let's talk about the divisions themselves. The Gas Division, the results continued to be on track from what we expected, showing very impressive results. The results give us the low cost, even with low gas prices. We're making money in this business, and we continue to expand our volumes to control our cost, as well as create a very valuable base. I am very satisfied with what we purchased, and I am very pleased with the long-term high value that we see of these assets going forward. Bill talked about the 4 rigs that we're operating right now. I would say they were probably at the highest standard in the industry, and we have 2 more rigs coming on with the highest technology and standards in the industry. So we're very excited about that. And I give kudos to the Gas Division for excellent performance. Now let's talk about the Coal Division. Let's talk about the revenue side. I think it's important. The growth in revenues is very, very impressive. Our ability to produce locally and distribute worldwide, to me, is very impressive because we use our port facility to reach 5 continents now, and we'll continue to do that with some very impressive growth on revenues.  Our high-volume met, our low-volume net, our high-Btu steam, all are great assets and a great spot in terms of people and productivity. And we have the ability to distribute worldwide and grow our revenues rapidly. And I think that differentiates us from other places. We don't have to mine all over the world, but we can distribute all over the world. That creates real value for our shareholders. Now on the production side for the Coal Division. Our development is in place. Our longwalls are running well. Our safety is good, and our ratio of longwall coal to development is right on track. So I give really high marks to our people for setting up a system that a couple of years ago, where we showed some weakness in terms of development, we really solved that problem, and I'm impressed with our ability to plan and get that done. Now interesting that we have the ability to grow on gas and coal at the same time. That's why these assets are impressive and valuable in the marketplace. We have the BX -- BMX Mine coming on track. We have the Amonate Mine that we announced last quarter that is on track, and we're also looking at Central Pennsylvania. We have a lot of reserves there. Met reserves, we're looking at those to add for blending with our Pittsburgh 8 seam and our port facilities, and we'll be talking more about that in the future. One very impressive thing when it comes to the market in this coal, though, is this goal is moving. Our inventory is probably the lowest it's been since I've been the CEO of the company. That is impressive to me, that the highest prices we've ever had for lowest inventory, that tells you there's some real strength in this company and ability to move the products. Overall, the growth in both coal and gas, I think, give great traction to these assets and great traction to the marketplace and real value to our shareholders going forward. That's why we are in our fifth quarter of record revenues. And I believe our cost structure is tight and very productive, even with the pressures of safety, changing regulations and the things that plague the industry right now in terms of tighter permitting and safety regulations, I think we are the banner for cost structure controls and productivity. And so having said that, I'd like to open it up for questions. Thank you.
Operator: [Operator Instructions] And first in line with John Bridges with JPMorgan.
John Bridges - JP Morgan Chase & Co: A couple of questions. Our E&P guy, Joe Allman, asked me to ask about trends you're seeing in the Marcellus cost structure. I know you were previously talking about economies of scale helping. I just wanted to check how that was going. And then maybe I could get a little bit of detail on this contract buyouts and where it sits inside the income statement. Things have been a bit hectic this morning. 0:25:54.9
Nicholas DeIuliis: On the cost question about the Marcellus, we expect for the 2011 area of time, both first quarter through fourth quarter, all-in Marcellus cost to bounce $3 and $3.50 an Mcf. The first 2 quarters year-to-date have been a good example of that. Basically, as we do work in the field because the weather improved in the second and third quarters, you see a little bit of a higher unit cost versus the colder months, like first and fourth. And if you look at third and fourth quarter, we should expect obviously somewhere between $3.25 and $3.50 for the third quarter and then trending down to the $3 number in the fourth quarter. So our long-term view, John, is the production ramps up in the Marcellus. Remember, as Bill said, we're bringing multiple wells on at the same time because of these multi-well pads. Those production bumps, we expect our all-in unit cost from Marcellus to be somewhere around $3.
William Lyons: As I said, John, it's really important to recognize that these are all-in costs. They include depreciation and the rest. So when we talk about our cost savings between, say, even in $3.50, where they've been, we make money, and I'm talking about actual money, GAAP income, okay, at $4 gas, as we make adequate return. So we make really good returns when the gas prices go up. So again, it's the advantage we have for being a low-cost producer. Right now, the cost of the Marcellus are very similar to cost of the coalbed methane, which again, is a low-cost play. And as Nick said, we expect in the longer term, the Marcellus cost will drop below that of the coalbed methane. So again, we feel very, very good about our gas operations. And again, we're making money, and we'll make even more money whenever gas prices go up. Now in terms of the contract buyout, it's not unusual for us to take a look at some of our long-term contracts. And in particular, this has to do some met coal that we sold into the steam market into a utility under a long-term contract. We decided to be advantages for both us and them for us to buy out of that contract. And literally, as I said, we'll make twice as much money in the remaining part of the year whenever we sell that coal into the met market. Generally, that if you look at the income statement itself, it's in cost of goods sold. If you take a look at our functional income statement, it's not in the actual act of coal operations. It would be in the other category there.
Operator: And next in line is David Lipsitz with CLSA.
David Lipschitz - Credit Agricole Securities (USA) Inc.: In terms of the costs. Are we looking at a structural cost change just in general, into '12 and '13? Or do we see any moderation in any of that?
William Lyons: Let me take it first before Nick. You've got to realize that coal mining is not manufacturing, okay, and every single operation has a different cost structure. So as a result, as you move your production from various operations or increase operations, you can have different cost. And ultimately, what we look at margins. So like, certainly, if we have a situation where we can sell coal at $150 a ton, and even if we had a cost structure of $100 a ton, we're going to do that because of outstanding margins. So I think, oftentimes, people make a mistake and just looking at the cost structure instead of taking a look at margin expansion.
Nicholas DeIuliis: The only comment I'll add is that if you look at the $5.79 increase that we quoted and you look at the component of that as operating costs or capital-related, sort of things affecting directly at the coal mine, it's about $3.60 a ton, and those were conscious decisions to improve things like safety, roof support, longwall face extension, better shield technology on our longwalls. Basically, what we've done is we spent $3.50-some a ton to get margin expansions north of the $12 a ton. So from our perspective, that would not be more than rate of return project, and we're happy that we invested the money.
David Lipschitz - Credit Agricole Securities (USA) Inc.: Okay. And quickly, you only did about a few million tons of thermal coal contracts into this year. Is that the low-quality stuff you've looked up? And there still -- the higher-quality still available?
Robert Pusateri: David, this is Bob. For 2012, you saw from the reports that there's about 3 million tons of thermal coal that we firmed up for the year, and it is the higher SO2 roughly 6.25 pound SO2 product. We are pretty much sold out of that product for 2012 and 2013, even though we have an upcoming contract price renegotiation that needs to be completed by the end of October.
Operator: Our next question is from James Rollyson with Raymond James.
James Rollyson - Raymond James & Associates, Inc.: I guess, circling back to a high-vol. You mentioned, obviously, the guidance went up recently to the 4.9 million ton range for this year and 5 million next. You mentioned in the press release, the shipments to a couple of new test markets. And I'm kind of curious, a little bit of color on maybe where the test markets are, but more importantly, if that works out, kind of what you see the ultimate potential? Last year, you were talking maybe 6 million to 8 million tons of high vol eventually. And I'm just kind of curious if that still in the range if these markets work out? And likewise, what kind of pricing we're looking at? Are we still in the 75 to 85 range for a while? Or is that going to trend up as well?
William Lyons: Jim, first, I'll tell you is that we've been trying over the last 6 months to get our high-vol coals tested and accepted here in the United States. We've been successful. We had a test burn that occurred during the second quarter with a major steel company. And we're looking to enter into negotiations for a term contract for those funds. We think that our success rate will allow our high-vol tons to increase year-over-year by about 1 million tons. We're still working on that negotiation, but we have no reason to think that we won't be successful. So we think that our high-vol tons will actually grow quicker than we originally had anticipated.
James Rollyson - Raymond James & Associates, Inc.: And I assume that will come at the expense of the thermal side; correct?
William Lyons: To the extent that our production stays in the same range, the answer to that is yes.
James Rollyson - Raymond James & Associates, Inc.: Okay. And then just the last quarter, we talked about the reopening of Amonate. And I want to say about 400,000 tons was kind of the early expectation for '12. It doesn't seem to be much of that in the guidance when you revisit [ph] from this year to next year on total met volumes. Is that just conservatism on your part? Or kind of wait until that gets over some hurdles before you throw that into guidance?
J. Harvey: Jim, first of all, there is a footnote in the release that addresses the Amonate production. And you're correct, the production estimate is around 400,000 tons for 2012. And we feel very confident about putting these tons into the marketplace. Our customers are asking us for these tons, and we feel that they will contribute heavily to our profitability next year and beyond.
James Rollyson - Raymond James & Associates, Inc.: Okay. And last question for me. Brett, you talked about -- and I think you and Bill both talked about the additional rigs coming on over the course of this year, which aren't going to have a big impact on production on '11. But obviously, you should start to contribute as we get into '12 and beyond. I know it's early, but any kind of early thoughts to what we might be thinking for production on the gas side as we head into next year relative to the 150, 160 this year?
J. Harvey: We've got 2 additional rigs coming, say, around early October of this year. One will be additional deployed into Southwest Pennsylvania, we're in full development mode. And the other one will be in the Utica. And with regard to production guidance for '12, we haven't given a number out yet, and we're not going to be in a position to do that today.
Operator: The next question is from Jeremy Sussman with Brean Murray.
Jeremy Sussman - Brean Murray, Carret & Co., LLC: Bob, as a follow-up, I guess it's safe to say the U.S. is one potential new market for high-vol? And if so, what -- can you tell us the other?
Robert Pusateri: There -- we have a steel customer in Europe that, Jeremy, we've been chasing for some time now. And we've had a successful test there as well. So between the 2 of them, on an annual basis, we think our high-vol tons will grow by 1 million tons.
Jeremy Sussman - Brean Murray, Carret & Co., LLC: Okay. Great. And then as far as the Buchanan, obviously, it's running very well right now, running at a run rate that's well above the annual guidance of 5 million tons, I guess. Is there some conservatism baked into your estimates? How should we -- or are we -- or are you expecting it to ramp down, I guess, a little bit in the back half of the year?
Nicholas DeIuliis: There's a lot of timing issues with regards to longwall moves, geology, et cetera, that affect the annual expected run rate of Buchanan. That's true for any of our longwall mines, but especially for Buchanan. That, coupled with the year-to-date performance, they're being exceptional, is why we're sort of just north of 5 million tons projected this year. I think 5.2 million tons. What that becomes with regard to next year and the year on out, I think that run rate between 4.5 million and 5 million is still a decent estimate as an average moving forward.
Jeremy Sussman - Brean Murray, Carret & Co., LLC: Okay. Great. And just last question. As a follow-up, can you -- you mentioned in the press release, obviously, some low-vol tons that are off-line right now in the U.S. Can you talk about what you're seeing on the pricing front, as your mine is running particularly well?
Robert Pusateri: Our low-vol tons, continue to attract higher pricing, both here in the United States and overseas. We entered into an arrangement with some of our customers to whereby we're selling our tons on a quarterly basis based on the BMA price adjustment for quality. That is somewhat new for us. Last year, we elected not to do that. This year, we believe that we would try and see how it started out. Pricing for the second quarter is the $315 we believe, Jeremy, for the third fiscal quarter. We believe the price will still be $300 and above. So you can see we have tons for sale in the third quarter, and we believe that we'll continue to produce very good margins.
Operator: Our next question is from Mitesh Thakkar with FBR.
Mitesh Thakkar - FBR Capital Markets & Co.: A quick question, a little bit about the export market. And maybe, Bob, you can help us here on that. We continue to see, if you look at API price and the domestic steam coal prices, it continues to be in and out of the money. How do you think about it in longer term? I know you do some term deliveries with 2, 3 years times frame -- time frames into the export market. So where do you see it right now? And how should we think about going forward?
Robert Pusateri: Into your -- Mitesh, for the next 6 months, we believe we'll put about 1.3 million tons of our high-Btu Northern App and Central App coal into Europe. Net average price will probably total for a 3% sulfur coal out of around $67. We've been able to enter into several contracts for our thermal coals for 2012 and 2013 at very good prices. We think this will continue. We think that with investment in CONSOL's port facility, as well as the rail capacity, this will allow CONSOL's thermal coal exports to grow in the coming years to meet the expected demand. As you know, this demand continues to be grown by the expected retirements of European nuclear plant, and then also, coupled with the phase-out of subsidized mining in Europe, South Africa and Colombia coals are being pulled into the Asian markets, and we think that coals from the U.S. will supplement that. And that's why CONSOL decided to expand our terminal from 12 -- from 14 million to 16 million, and we're looking at further expansion beyond that.
Mitesh Thakkar - FBR Capital Markets & Co.: And I think on your last call, we talked about you are looking at potential sales into India. And at that time, it was like out of the money and the prices didn't work. Is there any change in that? Are we still testing that market?
Robert Pusateri: Unfortunately, I had no further news on that other than the same $10 to $12 a net ton since delivered to India is about where we're at out of the market today. But we we're hopeful that, that will narrow in the months to come. As the Japanese coal plants come back online, I think there's going to be a need for thermal coal, and with supply constraints in other places, we believe that the Indian market will open up to us.
Operator: And next, we'll go to the David Katz with JPMorgan.
David Katz - JP Morgan Chase & Co: So as I understand that the moratorium on new-generation horizontal frac-ing has ended in New York. But at least, to us, it still looks unclear what the long-term picture is for the area. If there were some more visibility, would that be an area you would be interested in getting into? Or instead are you guys comfortable with the opportunities that are offered by your current reserve base?
J. Harvey: Well, I think that's a very good question. I think it is up in the air, exactly. And I think the New York region is way behind Pennsylvania at this point in time. So I can tell you, we have a very, very strong position. And when we bought the old CNG property from Dominion, it has long legs and a lot of held by production advantages. We think that the spots that we're in are as good from what we know. And so we don't really need to go into New York. We have a very strong position with a lot of acres. And it's in our backyard and feels very good for us, so you won't see CONSOL head that way.
David Katz - JP Morgan Chase & Co: Okay. Does that mean that within kind of area that you're in now, though, it would be purely expansion of what you have as opposed to acquisitions, at least from the natural gas space?
J. Harvey: Yes, we will drill out what we have on the natural gas side. And we have tens of years -- I mean, this a -- that acquisition was, I think, a 40- to 50-year project, and we're just in front of it, and we have that many acres.
Operator: Our next question is from Holly Stewart of Howard Weill.
Holly Stewart: I guess a couple of questions for Nick. Nick, one of your E&P peers had a couple of wells, very strong wells, out this morning in Marshall County, West Virginia. Recall that you guys have some nice acreage in Marshall and maybe even 5 or 6 wells permitted. Can you talk about your acreage and then your plan to Marshall County?
Nicholas DeIuliis: As we said from the get-go really coming off of the Dominion acquisition just over a year ago, we were very bullish on Northern West Virginia just like we were with Southwest PA and Central PA. Because of the drilling schedule, that was the last of those 3 regions that we effectively have gotten to, and you saw some preliminary results we put in the prior production update releases, et cetera. We still are very optimistic and bullish. We think that where we're drilling out with regard to Barbour County, areas like Marshall County, which is more in the dry wet zone. It will be very prolific for us, and basically, when people ask us what our expectations are there for those 2 subareas of Northern West Virginia, our answer is expect something very much in line and similar to Greene County, Pennsylvania. It should be a great thing.
Holly Stewart: Okay. Perfect. What's the -- how many acres you have in Marshall?
Dan Zajdel: Holly, this Dan. We have about 20,000 acres that forms a roughly contiguous block in what we were calling the Majorsville area, which is just on the Marshall County, Washington; Greene County, PA lines. So we actually are going to move a rig into the Marshall County area in '12 to fulfill some drilling obligations we have there.
Nicholas DeIuliis: The nice thing about that, Marshall is probably the most consolidated 20,000 acres we'll have across the full 700,000 acres of Marcellus that we control.
Holly Stewart: Perfect. And then just one follow-up on your operations update, I mean, kind of sticking with the whole West Virginia theme. You talked about some wells in Upshur County and once you added some gathering in the next week or so, you thought that those rates should get better. Do you have any color on that? Or it's just too early to comment?
Nicholas DeIuliis: Our expectation is still that decompression will make a tangible result in the production with regard to flow rates. And as we move further north, remember, we started Northern West Virginia at the southernmost point, as we start to drill northward into Barbour County, and those wells should be coming on sometime in early September. We should see results, again, that are very much in line with Greene County, Pennsylvania.
Dan Zajdel: But just if I could add specifically, Holly. At the Alton pad in Upshur County, we have brought the compression online. And we have one of the wells now producing at about another 1 million cubic feet a day above and beyond of what we reported in the ops release. Our operations folks down there are taking a look at perhaps flowing more freely to the other wells down there.
Operator: And next, we'll go to Andre Benjamin with Goldman Sachs.
Andre Benjamin - Goldman Sachs Group Inc.: I just wanted to get a little bit more color. You guys have been talking a lot about West Virginia. But in terms of your southwest and Central PA wells, how have those been trending lately in terms of your initial rate of production? And I guess I'll just start there.
Nicholas DeIuliis: The Greene County Southwest PA area, we'll talk about that one first. It continues to, I'll call it, consistently meet the results that we posted project to date. We don't think that's going to change. If anything, that will probably only improve because of some incremental completion and operational issues that we look at with regard to these multi-well pads. When you look at Central Pennsylvania, we're going to have a significant pad of 10 wells coming on sometime around early October this year, which will be the second major step out within Central PA. As you recall, the first area was quite successful and in line with what we saw in Greene County, PA. So basically, same set of expectations, a lot more data coming down the line here with the additional rigs and wells in Southwest PA, Greene, and with regard additional pad coming on in early October for Central Pennsylvania.
Andre Benjamin - Goldman Sachs Group Inc.: I guess, the second question would be, if you have any updated thoughts on the 200,000 acres or so of acreage you have in Utica Shale in Ohio? And any view on whether it's likely in the oil versus whether dry gas windows? I think most of it occurred in Eastern Ohio; correct?
Nicholas DeIuliis: When you look at our 200,000 acres in Ohio, I think there's significant portions of the 2, whether it's 50-50 or something like 60-40, a significant portion is in what we'll the oil zone and what we'll call the transitional wet gas zone. And again, those 2 additional rigs will be deployed to the Utica to start delineate.
Operator: And next, we'll go to the Richard Garchitorena with Crédit Suisse.
Richard Garchitorena - Crédit Suisse AG: My first question, just on the cost, the $231 million this quarter. You're investing to improve safety. Is that an ongoing cost, you think, going forward? Should we expect that in the coming quarters?
William Lyons: It's a cost that an investment that we will make an ongoing basis, when you look at third and fourth quarter, I think we have some statements press release that's saying basically take the second quarter costs and expect that to increase by $1 a ton or so over the remaining 2 quarters. So that's the investment we continue to make and tend to make on an ongoing basis. And we think that will continue to yield margin expansion with regard to turning the market upward that Bob summarized.
Richard Garchitorena - Crédit Suisse AG: Great. That's very helpful. And also, on the new labor agreement, is there a cost effect you expect on that going forward?
William Lyons: In that number, yes. And again, when you look at the 5.5 years, they were expecting on a compounded basis 3.5% increase per, call it, represented ton.
Richard Garchitorena - Crédit Suisse AG: Great. And then my other question is just related some comments regarding inventories. I think Brett mentioned that the lowest that you've seen since you've been a CEO. What's your sense on where inventories are at the utilities right now? Or do you think you could get into a period where they might start to feel a little tight and look to '12 and '13?
J. Harvey: Yes. June coal inventories were down about 10 million to 13 million tons below a year ago levels. We're seeing that there's still a fairly strong demand. We think that this current weather pattern that we're in will draw inventories down even further, despite the fact that there's moderate economic growth. Most of the customers that we serve have inventories probably in the range of 30 to 40 days. We do have a few that are probably under 20. So despite everything that you read, Richard, the trains are still loading. We still have a high demand for our product. And as we pointed out earlier, we're sold out in our thermal market for the balance of the year, and we're okay with the position that we're in right now.
Robert Pusateri: I want to make one thing clear. When he says 8 to 10 year -- 8 to 10 days down year-to-year, that's in our area. So if you look at the real striking points of consolidated area, it's important that the distinction because if you look at the Midwest numbers weather overloaded with Powder River Basin coal, that's a whole different marketplace. So this is high-Btu, high-revenue places where the margins are high for us. And if it's down 8 to 10 days, that's a good thing. And what my concern is for the utilities, and I'll speak for them in this case, if they had to build up for the winter, there's not a lot of high-Btu coal to be had to build up for the winter, and that's a concern, I think. Would like to have more to help them build up, but we don't at this point.
Richard Garchitorena - Crédit Suisse AG: Okay. That's very helpful. My final question is just on the exports, you're expecting 10 million tons this year. What you need to see to get that up to maybe 11 million, 12 million tons next year in your -- going forward? Is that rail capacity? Or -- and I know you're expanding in Baltimore, but is there a bottleneck causing that?
J. Harvey: No. As the price for the international demand, as that price continues to rise, we look at that and compare it to what the domestic prices. We have the poor capacity to take more tons, export. And we will continue to do that. So it's wherever we can leverage the highest price, that's where the tons will ultimately go. So if we think that selling more thermal coal into Europe results in a higher price, we'll look at another 2 million tons or so for 2012 and '13.
Operator: Our next question is from Meredith Bandy with BMO Capital Markets.
Meredith Bandy - BMO Capital Markets Canada: So many questions have been asked, so I just have a couple of loose ends to tie up maybe. One is, we talked about the 315 benchmark and then the 210 to 220 guidance for the open tons you gave. Can you walk me through how you translate that? Like, what's the quality differential; what's the rail differential; how should I think about that?
Robert Pusateri: Yes. Meredith, if the FOB key price on a metric ton basis is, pick a number, $300. That's the BMA price. From that, you would have to then deduct the railroad freight, including the dump rate, that would then get you to a net ton FOB mine. And then in some cases, there's fuel surcharge you would have to subtract back, and then that would then result to what the net price that the mine would see. Some customers, depending on negotiations, some customers pay their own fuel surcharge, some of them we wrap it up in the price. So if you look at a $300 FOBT price, for CONSOL that equates after fuel to about a $225 FOB net ton mine.
Meredith Bandy - BMO Capital Markets Canada: And there's no quality adjustment at all basically transportation?
J. Harvey: The quality adjustment usually comes after that. As you know, the BMA price is for higher ash product. CONSOL's low-vol is one of the lowest ash products here in the United States. It's roughly 5.25% ash versus 9.5% ash. So there is a corresponding adjustment made to the price to account for the lower ash.
Meredith Bandy - BMO Capital Markets Canada: Okay. And then, I guess, I was just surprised that the transportation was that high, but fair enough. And then I think we already touched on a little bit in the 90s not in the breakdown, if I read the footnote correctly. It's not in the breakdown for the different qualities, but is included in the total; is that right?
Nicholas DeIuliis: That's right. It's included in the top line of that chart, which is the estimated coal production. Amonate is in there, but as you get below that top line, it is not included in any of the breakdowns that we have there, mainly because we have decided that this point not to include a mid-vol breakout for you yet.
Meredith Bandy - BMO Capital Markets Canada: Okay. And then when I go to 2015, when you have BMX and you have Amonate possibly of the 2. Where would you see sort of your top line at that point? Is some of that growth replacing older mines? Or is it all growth?
J. Harvey: Well, assuming the marketplace is consistent to where it is today, Amonate and BMX look like growth, because most of our mines have 15- to 25-year lives capitalized today. Now if the market changes or the demand for coal changes, we'll certainly adjust mines to match it, but assuming it's cost, yes, that is growth.
Operator: And next, we'll go Brian Gamble with Simmons & Company.
Brian Gamble - Simmons & Company International: Bob, if I may, a little bit more minutia on Buchanan, longwall moves one of the current next couple move plan?
J. Harvey: Yes, Brian, this is Brett. We're going to I think defer from getting into specific timing on longwall moves. I think we made a point I mentioned that last quarter just because it was a standout issue in the production production guidance for this quarter, but I think it's a practice we're going to get into about trying to give a whole lot of clarity on longwall moves.
Brian Gamble - Simmons & Company International: Okay. That's fine.
J. Harvey: How about that?
Brian Gamble - Simmons & Company International: No, no problem. And then the calculation you just run through, Bob, 300 gets you to 225. Just reading a little bit more into that. If your expectations for back half of the year is still 300 plus there might be slight upward bias to the expectations that you gave in the chart?
Robert Pusateri: That is correct. Good catch.
Brian Gamble - Simmons & Company International: Fair enough. And then, Brett, maybe big bigger picture. You've got all your guys talking about delineating on the gas side and then maybe this is for you, too, Nick, but you're drilling a lot, you've got a couple of more rigs coming online. Obviously, in the past, we've talked about gas as a potential JV opportunity to try to monetize some of those assets. And I know I'm sure you guys are always out there looking for people that are interested. But any update last 3 months or so, how that's been developing? Have you seen more interest as the deflated gas price environment precluded some of those conversations? Maybe just a little bit of color on what you see over the next couple of quarters.
J. Harvey: Well, I think that's a good question. What we've always said is wherever we bring the net present value of any of our assets forward, we will do that. But we really don't discuss any processes or anything. So we really don't have any comment on that. When we have something to say, we'll bring it up.
Operator: And we'll go to Mark Levin with BB&T Capital Markets.
Mark Levin - BB&T Capital Markets: I was just trying to get an update sort of on the gas monetization strategy, if still kind of holds true where you're so going through that the process that's kind of figuring out what makes sense, let's say, in the first 10-year drilling plan. And then next year, you'll get into more meaningful assets and also divestitures, if that still holds true, that's sort of my first question. And then the second question is just more general on the coal side in terms of what you guys are seeing in terms of spreads between low-vol Buchanan met versus some of the lower-quality high-vol products?
J. Harvey: Well, on the strategy of assets, I think I'm just going to say what I said before. We don't have a comment on that until we're ready to do something. I think we have publicly announced that we're always looking for opportunities, and we'll talk about them when they're available. And the other one, I'm going to turn to Bob.
Robert Pusateri: On your second question, Mark, we believe that the low-vol pricing for the third and fourth quarter will look at about $300 a ton FOBT metric. As that compares to the high-vol tons, say, for an A and B type coal, CONSOL doesn't have any high-vol tons that are of that quality. Ours are -- our high-vol coal mostly looks like a high-C+. But I would tell you that the A and B tons as we seen are probably selling in the range for about $240 to $250 FOBT, We're looking very hard at the disparity between the numbers, again, and that fact that CONSOL is looking to open up some additional high-vol production in Central Pennsylvania. So we think the pricing for the high-vol is good enough for us to bring on these coal mines.
Mark Levin - BB&T Capital Markets: And just as you guys think about bringing on those coal mines in the context of some of the comments that were made maybe by U.S. Steel or AK Steel, some certain, I guess, nervousness, I guess, about the way the steel market is maybe shaping up in the back half of the year. I realized different Mattel [ph] said something a little bit different. But how do you guys think about bringing on additional met projects in a very uncertain macro environment?
J. Harvey: That's a good question. You can see what we've done. We've taken our capital and deployed it into different markets, places without adding new capital to chase, a relative market like the steel businesses. Buchanan certainly is a long-term player, and we'll always be at the base of the steel business. These other coals that tend to be in and not, depending on how the steel businesses are going, CONSOL is not really excited about chasing new capital or risking capital to match that market because we've been burned, we've seen other people get burned in that as well. But if we can get some long-term deals, based on the expansion world like China and India and others, we'll certainly bring these coals online and match it up with customer, and we even see some of the customers will allow assisting and capitalizing with us. So we are open to those deals, and you'll see us make those kind of moves.
Operator: Our next question is from Shneur Gershuni with UBS.
Shneur Gershuni - UBS Investment Bank: Most of my questions have been asked and answered. Just wanted to do a couple of quick follow-ups. Your guidance for the full year for production suggest that the back half is going to be a bit lower, and I do recognize the first half has been very strong. But it is lower than kind of what you've done in the back half in some previous years. Is there some timing issues on anything? Or does it include some longwall moves or something of that sort? Or is that a potential upside as we think about the back half of the year?
William Lyons: A couple of points there. First, keep in mind, first and second quarter quarters were of banner operational periods of time with regard to the coal segment. So we're sort of comparing Q3 and Q4 to what was things like very well in Q1 and Q2. We hope that, that would -- that trend would continue. Second thing, there are timing issues with regard everything from longwall moves to the rest of the brands that we don't try to get into with regard to mine-by-mine logistics. When you add all that up, our best sort of middle-of-the-road 15% estimate, for 52.5 million tons for the year and the balance the back 6 months can get you there.
Shneur Gershuni - UBS Investment Bank: I understood that the first 6 months is really good. What I was saying is more comparing the back half of this year to the back half of last year. You know what I mean? Is there something different that's happening this year versus last year or in previous back halves basically?
William Lyons: Really, the back half last year was a strong set of quarters as well. So to the extent that things go well and we can manage everything from humidity to longwall moves to the rest, there will be some potential upside of 52.5 million tons. But if you want our middle-of-the-road 15% target, that's what where we're at with regard to the year end and the back 6 months of the year.
Shneur Gershuni - UBS Investment Bank: That makes sense. And then if I can just follow-up on some questions on gas. Nick, maybe you can give us some color with respect to kind of where you're at on days to drill, winter drilling off a pad and so forth? And also, if you could give us the CapEx per well?
Nicholas DeIuliis: The CapEx per well is a bit of a tricky number only because we want to correlate it to the lateral lengths and the completion stages that we've seen with regard to the horizontals. And so I can give you sort of an average capital per well number, but you have to normalize it for those 2 key parameters. The third parameter starting to affect that 2 is the number of wells on a single pad, because that's creating some capital effects, positive ones, with regard to side trap, zet cetera. When you add all that up, the drill days really still drive your capital per well. If you look where we're at today versus where we're at little to a year ago, we've seen significant reductions in a number of drill days in a tune probably of a third reduction in our drill days, and that's going to result in lower capital per well. So as long as we see efficiencies out of the drill rig crews and the drill rig fleet, that'll be the best approximate we got for capital per well continuing on a positive trend.
Shneur Gershuni - UBS Investment Bank: Okay. And one final question. You're drilling in you Utica. You've drilled one there in the past. You weren't able to compete it because of infrastructures issues and so forth and you do think it's high-Btu content, probably liquid-rich. But do you have infrastructure in place now to be able to complete these wells that you plan to drill in Utica? Are you working with another player? If you can just sort give us some color as to how we'll know the flow rates and liquid content as we look into the next 6 months?
Nicholas DeIuliis: It's in many ways the Marcellus all over again. And a lot of the lessons learned from the Marcellus ramp-up, from a midstream standpoint, processing, permitting, rigs, regulatory, all of that, will be very applicable to basically right across the river with regard to Ohio. A very positive, I think, environment with regard to the policymakers wanting the development to occur and a little bit different from Marcellus, and mainly it's going to be with regard to the byproducts, as you mentioned, but all of those plans are in place and we continue to work on that on a regular basis, and a lot of the lessons learned in the Marcellus should really shrink that time that you see for ramp up in really what I'll call sales meter impact with regard to Utica.
J. Harvey: One thing I would like you to understand is any new project like that, we drop back and do a risk assessment in terms of capital risk, as well as safety risk on new projects where our technology. We're very good engineers, but we want to make sure the technology is right as we approach it. That's why we backed up that first well. And I think going in with his new rig, we're well planned to get it right this time.
Shneur Gershuni - UBS Investment Bank: But you have a way to complete the wells though; right?
Nicholas DeIuliis: Yes. Designs have been laid out already. We're ready to go.
Brandon Elliott: John, this is Brandon. Let's go ahead and make this next one our last question.
Operator: Certainly, and that's from Brandon Blossman with Tudor, Pickering, Holt.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: These will all be follow-up. I guess, one, West Virginia gas. I guess the big surprise last night on those well results from competitor was that they were producing quite a bit of condensate. Did I hear you say that you're expecting kind of Greene County type curves in dry gas for West Virginia? Or is there possibility of something else?
Robert Pusateri: For Barbour, I'm sure that will be the case, yes. Greene County, dry gas expectation.
Nicholas DeIuliis: Right. Marshall County on the other hand, though we have 20,000 contiguous acres, we would expect to be liquids-rich, and in fact, we've already signed a processing agreement with MarkWest to strip the liquids out of the gas for us.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Continued success there on that acreage, so congratulations on that. And thinking about incremental, just CapEx on the gas side, incremental 2 rigs. How about the completion side of that kind of bump up in the program? Do you guys have that lockdown? Or will we see a little bit of cost creep there?
William Lyons: Again, when we look at the capital per well, the 3 big parameters as I said: one, drill time, drill efficiency, rig efficiency. That number has shown very strong positive efficiency gains over -- let's say even as recent as the last 12 months. So we feel very good about that the. The second big parameter is lateral length. Now our lateral length is generally are trending longer. So that's going to obviously increase the capital per well, but when you look at it on a per lateral foot basis, it will not be an increase. So we feel good about that. The third one is the number of completion stages. And generally, just like lateral length, the number of completion stages is going up, not just because of the lateral is increasing, but also because we're typically, on average, completing it with higher stages. When you add all that up and you normalize it for a number of stages and lateral length, our well -- capital per well has done down, and our expectation is it will continue to go down as we start to drill these multi-well pads.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: That's helpful. And then quickly shifting over to the coal side, the Central PA possible net incremental production, it sounds like, and I just want to confirm that I heard this correctly that, that will be continued upon signing some contracts. So timing on that, it sounds like it's customer-driven rather than driven on our side?
J. Harvey: Well, we think the market is there right now for some of that, and don't underestimate our ability to take some of that coal and blend it with Pittsburgh 8 and create a whole new product in the Atlantic market. So I think it's a little bit of both. We have a lot of reserves in Central PA, and those reserves are good, high-vol met, that have a different sulfur structure than the Pittsburgh 8. So we believe our first look is, there are some opportunity from a blending side, as well as new products to customers. So we think we can bring customers in with some optionality here.
Brandon Elliott: All right, everyone. Thank you, guys, for joining us today. And we obviously appreciate everyone taking the time and your interest in CONSOL Energy. We look forward to updating you again on the third quarter conference call. And, John, could you please give the replay information, then we'll sign off. Thanks, everybody.
Operator: And ladies and gentlemen, this conference is available for replay. It starts today at 12:30 p.m., Eastern Time and will last till August 4 at midnight. You may access the replay at any time by dialing (800) 475- 6701 or (320) 365-3844, the access code is 211007. That does conclude your conference for today. Thank you for your participation. You may now disconnect.